Operator: Good afternoon, everyone. And thank you for standing by. Welcome to Evolus's First Quarter Earnings Conference Call. As a reminder, today's conference is being recorded and webcast live. All participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the conference over to Nareg Sagherian, Vice President and Head of Global Investor Relations and Corporate Communications. Please go ahead.
Nareg Sagherian: Thank you, operator. And welcome to everyone joining us on today's call to review Evolus' foq financial results Our first quarter press release is now on our Web site at evolus.com. With me today are David Moatazedi, President and Chief Executive Officer; and Sandra Beaver, Chief Financial Officer. Today's call will include forward-looking statements. Actual results may differ materially due to risks and uncertainties outlined in our earnings press release and SEC filings. These forward-looking statements are based on current assumptions and we undertake no obligation to update them. Additionally, we will discuss certain non-GAAP financial measures. These measures should be considered in addition to and not as a substitute for our GAAP results. A reconciliation of GAAP to non-GAAP measures is included in today's earnings release. As a reminder, our earnings release and SEC filings are available on the SEC's Web site and on our investor relations Web site. Following the conclusion of today's call, a replay will be available on our Web site @investors.evolus.com. With that, I'll turn the call over to our CEO, David Moatazedi.
David Moatazedi: Thank you, Nareg. And good afternoon, everyone. We're pleased to report a successful start to the year, delivering double digits revenue growth as we lapped an exceptionally strong quarter from the prior year, which had grown 42%. We gained meaningful market share in the first quarter, more than offsetting slower market growth and performing at multiples above the market. Considering this backdrop, we have incorporated this higher share into our projections and reduced our 2025 toxin market growth expectation to low single digits, remaining on track to deliver our full year guidance. Our abilities to consistently execute is driving continued market outperformance and strengthening customer loyalty. In our final quarter as a single product company, we achieved $68.5 million in revenue, representing 15.5% growth over the prior year. That growth is supported by a strong commercial engine. In the quarter, we added 675 new purchasing accounts, bringing our total to more than 16,000 of the 30,000 estimated in the category. On the consumer side, our loyalty program continues to serve as a competitive differentiator, driving repeat uses and increasing brand engagement. We reached a new record this quarter with over 220,000 redemptions, 65% of which came from existing consumers, underscoring the high level of consumer satisfaction and repeat treatment. Our repeat treatment rate indicates that once consumers try Jeuveau, loyalty builds, traction increases and this leads to sustainable growth. Building on that foundation, we officially launched Evolysse Form and Evolysse Smooth on April 18th in the US. We are encouraged by the strong early momentum. This marks our evolution into a multi-product company. Prior to launch, we conducted extensive research with both consumers and professionals to better understand market dynamics and identify how Evolysse could be uniquely positioned for success. A key insight was the shift in consumer sentiment surrounding the word filler, which has contributed to lower engagement in the category. To address this, we introduced a bold initiative, Drop the F Word, encouraging clinicians to shift the conversation from filler to hyaluronic acid. This new lexicon emphasizes HA as a natural ingredient in the body, which resonates with consumers seeking a natural look. The early response to our Drop the F Word campaign has been overwhelmingly positive with many practices embracing the message on social media and aligning themselves with the effort to reframe the narrative and replace filler with injectable HA. Our differentiated go-to-market strategy with Evolysse expands beyond redefining the category. The Cold-X technology is first-in-class and designed to create a more natural HA gel product. Our clinical data demonstrates statistical superiority versus one of the market leading HA gels, and our label is first-in-class with the mention of weight loss. These combined factors have reinvigorated a depressed market. Early interest in Evolysse has significantly exceeded expectations. Several thousand clinicians attended our launch webcast and several thousand more have viewed the on-demand recordings. We've already sampled nearly 2,000 customers and early ordering activity is strong. The strength of our commercial platform is evident as Evolysse is outperforming the initial launch of Jeuveau. As we expand our presence, we're taking a disciplined, strategic approach to the launch strategy, focused on building long term customer relationships and deepening our presence within existing accounts. Evolysse is already proving to be a powerful complement to Jeuveau. This broader offering enhances our value proposition and sets the stage for continued share gains and long term growth. We're operating from a position of strength, both strategically and financially and we remain confident in our path forward. As market conditions evolve, the early success of Evolysse is providing new momentum, reinforcing our growth and engagement across the portfolio. We are reaffirming our full year revenue guidance of $345 million to $355 million on track for our sixth consecutive year of over 30% growth. Our growth engine is built to scale and we have clear visibility into the levers that will continue to drive performance in the months ahead. Evolysse is gaining competitive ground, capturing share and solidifying its position as a performance beauty company with a growing product portfolio. With that, I'll turn it over to Sandra to walk through the financial details.
Sandra Beaver: Thank you, David. As we enter the second quarter, Evolysse is well positioned to deliver on our full year guidance. With the challenging market backdrop in the first quarter, we have continued to deliver meaningful growth multiple above the market, effectively navigating this dynamic market environment in our last quarter as a single product company. As we recently announced, we have taken proactive steps to efficiently strengthen our balance sheet with our debt refinancing, providing increased flexibility to support long term growth. We have absorbed tariff impact on medical devices within our previously announced guidance and continue to build a solid foundation to support the launch of Evolysse. These achievements reflect the strong execution across the organization and that the value of our business model resonates with our customers. Now let me take you through the details of our first quarter performance. Global net revenue for the first quarter was $68.5 million, a 15.5% increase over the first quarter of 2024. US product revenue accounted for approximately 94% of total sales with a customer reorder rate of approximately 70%. Notably, we also saw continued momentum internationally where revenue contributions increased and is expected to continue to outpace US growth, further validating the strong growth trajectory of our toxin business outside of the US. Sales growth in the first quarter was primarily driven by higher volumes and market share gains while pricing remained stable. As David mentioned, considering our outsized market performance in the first quarter, we have rebalanced the market dynamics reflected in our guidance. To elaborate further on those dynamics, we exited 2024 with a 14% share, which is 1% above what was originally implied in our 2025 guidance and continued to gain share in the first quarter. 1% of market share gain has a value of over $20 million in revenue on an annual basis and 1% of market growth has a value of approximately $3 million in revenue on an annual basis or one-seventh the value of market share gain. Given these dynamics, we have reduced our market growth assumptions from high single digits to low single digits and factored our current share position, remaining confident in our projected 2025 revenue guidance. Our reported gross margin for the first quarter was 68.1% and adjusted gross margin was 69.2%, which excludes the amortization of intangibles. On the topic of tariffs, our exposure is limited to the transfer price of our products, which is accounted for in cost of goods sold and included in both our reported and adjusted gross margin. Our injectable hyaluronic acid gel, Evolysse, is sourced from France and is currently subject to a 10% tariff, which went into effect on April 5th and is expected to increase to 20% on July 5th. The impact of this tariff is estimated at less than $2 million for 2025 and has been incorporated into our planning assumptions with no impact to our guidance. We've all remained unaffected by tariffs as pharmaceuticals are currently exempt. That said, we are closely monitoring developments and are taking prudent and proactive measures to mitigate any potential exposures moving forward. With a three year product shelf life, we are able to proactively manage inventory flows into the US. In addition, we have flexibility to absorb additional costs within our P&L, if necessary. Our high margin business provides capacity within gross margin and we also benefit from meaningful leverage within our operating expense structure. These structural elements of our business give us multiple levers to manage through this dynamic environment effectively. GAAP operating expenses for the first quarter were $61.8 million, up from $54.9 million in the fourth quarter. Non-GAAP operating expenses for the first quarter were $52.9 million compared to $46.6 million in the fourth quarter. Non-GAAP operating expenses increased for the quarter to support the launch of Evolysse. As a reminder, non-GAAP operating expenses exclude stock based compensation expense, revaluation of the contingent royalty obligation and depreciation and amortization. Within operating expenses, selling, general and administrative expenses for the first quarter were $56.6 million, up from $50.2 million in the fourth quarter, reflecting investments in growth and commercial expansion in support of Evolysse. This included $5.7 million of non-cash stock based compensation compared to $5.8 million in the prior quarter. Non-GAAP operating loss in the first quarter was $5.5 million compared to $0.9 million in Q1 of 2024. We are on track to profitability for the full year 2025 with positive non-GAAP operating income generated heavily in Q4 2025. Both non-GAAP operating expenses and non-GAAP operating income exclude stock based compensation expense, revaluation of the contingent royalty obligations and depreciation and amortization. Turning to the balance sheet. We ended the first quarter with $67.9 million in cash as compared with $87 million at the end of the fourth quarter. We expected this use of cash in the first quarter due to seasonality of revenue coupled with the timing of our annual bonus payments and inventory stocking to support the launch of Evolysse. On Monday, we announced that we further strengthened our financial position through refinancing of our debt facility. Under favorable market conditions, we were able to reduce interest expense, increasing cash generation and at incremental optional capacity to ensure non-dilutive access to capital to support strategic growth initiatives. With this new facility, we achieved three key structural improvements. First, we reduced our borrowing costs by 350 basis points on current interest rates. Second, we converted from an amortizing structure to a bullet maturity payment due in 2030, which reduced prepayment fees. And third, we added incremental available capacity of $100 million. The senior secured term loan is up to $250 million in three tranches, $150 million being drawn upon the execution of the agreement and at our discretion, we may draw up to two additional tranches of $50 million each through December 31, 2026. These second and third tranches are available with no additional performance conditions or financial covenants. In addition, by staying with our existing lender, this transaction was very cost effective, avoiding any prepayment fees on the existing facility and additional consideration of only 1% of the drawn value for the new facility. As we look beyond 2025, we remain on track to achieve total net revenue of at least $700 million by 2028. We anticipate long term underlying healthy aesthetic market growth, driven by high consumer interest and low penetration for facial injectables. Our revenue growth will be driven by continued performance in our neurotoxin business both in the US and internationally, along with an increasing contribution from our novel line of injectable hyaluronic acid gel, which launched within the US in Q2 2025 and will launch internationally in the second half of 2025. Achieving this revenue milestone equates to a compounded annual growth rate of 27% from 2024. Additionally, by leveraging our highly synergistic infrastructure, we expect to expand non-GAAP operating income margin and target at least 20% by 2028. With that context in mind, we are confidently reiterating our guidance for the full year 2025, which includes the following. Total net revenues are expected to be between $345 million and $355 million, which represents a 30% to 33% growth from our 2024 results. We anticipate that Evolysse injectable HA gels will contribute 8% to 10% of total revenue in 2025. Non-GAAP operating expenses are expected to be between $230 million and $240 millionm driven primarily by continued investments in expanding Jeuveau in the US, scaling Nuceiva internationally and supporting the launch of Evolysse and Athene injectable HA gel. We expect to achieve profitability, positive non-GAAP operating income on a consolidated basis for the full year 2025. Non-GAAP operating income is anticipated to be achieved after the launch of Evolysse Form and Evolysse Smooth. Given the timing of investments being concentrated in Q2 2025 and revenue contribution weighted towards the second half of the year, we expect that non-GAAP operating income will be generated in Q4 2025. As a point of note, other modeling assumptions for 2025 include quarterly interest expense of $3.6 million, reduced from our previously communicated assumption of $4.5 million and full year weighted average shares outstanding of approximately $63 million. With that, I will now turn the call back to the operator to begin Q&A.
Operator: [Operator Instructions] We'll take our first question from Annabel Samimy with Stifel.
Annabel Samimy: So I just wanted to get a little bit of more color on market trends here. So we all listen to the various competitor conference calls to assess this market. And all the comments were pretty cautious on the difficult environment for fillers, but just curious from your discussions with injectors as you prepare for this launch. How much of this is demand changes due to macroeconomic factors and how much is it away -- how much of it is a broader trend away from filler usage, because exactly that filler word and a trend towards more natural use? And if it's the latter then I guess your campaign makes sense. But if it's a former, I just wanted to know how you feel about launching into this market. And then while we're talking about the market contraction, we're seeing the same for neuromodulators, which tends to be a pretty resilient market. So what's changed there? And then one last question on the tariffs. Is it clear that neuromodulators are considered a pharmaceutical product right now as opposed to a consumer product, if you're an aesthetic -- you have an aesthetic use as opposed to a medical use? So just want to get your understanding there.
David Moatazedi: A couple of questions in there, Annabelle, maybe I'll take the first two and then turn it over to Sandra to talk a little bit about tariffs. As far as the market for fillers, whether it's the filler word or the category or procedure volume, I think it's both in fairness. We saw the filler market see some pressure as consumer spend started to reduce, and that persisted now across companies for a number of quarters. And we do believe that the research we did and the early read we're getting from the market is that the term filler itself has been viewed negatively and HAs have been lumped into that. And the shift to talking about HAs in a positive light, the big insight with consumers was many of them are using HAs or are familiar with HAs because they're available in a number of over the counter ingredients. And so when you talk to them about an injectable form of HA, it has them looking at the category through a completely different lens. And in this case, because we have a unique new technology that's designed to create a more natural gel, it actually plays really well into debunking this idea that fillers are unnatural. And our clinicians that we've partnered with have clung on to that, because as you just said, a combination of procedure volume being down and a negative sentiment around the word filler, they see this as an opportunity to revive a segment of the market that's been consistently a bit depressed. And our early read has been very positive on that. Of course, we've been on the market for, call it, roughly a month since we commercialized in the United States, but we're seeing very good traction around it as we focus on that. Now as it relates to the toxin market, as you know, Annabel, we have seen the toxin market decline back in 2008 with the last year beyond the small COVID period where the market contracted. And I do believe we're going through a window where we saw in the fourth quarter the market flattened out roughly and then in the first quarter we saw it take a slight step down. I do believe we've taken a conservative approach here by bringing our full year assumptions to the market into single digits. Keep in mind, we wrap around on what will be a depressed back half of the year when we get there this year. And so, I think our assumptions are in line with that. And I do believe the toxin market has never gone into negative growth. And so we don't assume that on the full year it will be a negative growth. We have some quarters where that happens but not on the full year. So we feel that this is something that over the next quarter, call it Q2, will wrap around on a positive growth environment for the back half of the year. And I'll turn it over to Sandra.
Sandra Beaver: As it relates to tariff, obviously, at this stage with pharmaceuticals, we don't know the nature of what tariffs may or may not be applied and how they will be enacted across any geography or otherwise any specific distinction. However, as we do import the product today, the classification of the product is as a pharmaceutical it is assigned and [indiscernible] by the customs and duties office.
Annabel Samimy: And if I could ask one more question. With the additional capital available, do you have anything specifically in line that you're going to do with this additional capital or is it just cushion for you?
Sandra Beaver: I think we had a really opportunistic moment in time to get a great transaction done with the refinancing of our capital facility. And as we noted that facility goes out to 2030 for maturity. So ensuring that we created enough capacity that we had the ability to access capital in a non-dilutive way at our discretion with very favorable terms in the event that we were to have something that could provide meaningful growth to the business. This gave us the opportunity to create that capacity. I think, as you know, we're very dilution sensitive. We're also very capital efficient. We're very thoughtful about how we invest. As we noted with the transactions, we've historically done with SYMATESE, we were very thoughtful about how we invested that money. And we will continue to be as disciplined as we have historically been in any use we might apply for this additional capacity.
Operator: We'll take our next question from Marc Goodman with Leerink Partners.
Marc Goodman: David, just to lump on to the last question about the market dynamic. I mean, there was something really funky going on in fourth quarter and first quarter with respect to AbbVie having trouble with their loyalty program. So is that what has just caused the mess in the market or if you exclude that factor and just say, the market has slowed a little bit more? I'm just trying to dissect between the two. And then second of all, have you all announced the pricing on the filler yet? For some reason, I haven't seen it.
David Moatazedi: A couple of things. One is, we are aware of the changes in the loyalty program for AbbVie and for Q1, in particular, which is when those changes we believe impact the revenue more meaningfully. Our share assumptions, as Sandra outlined, reflect some assumptions around that additional impact of those rebates. So as a result, you don't see an outsized share growth in the first quarter on our side but we do believe we continue to gain share even when you factor for the consumer loyalty program. And that's why we do believe there's been a significant outperformance. But it does factor for that and that does -- my comments around the overall market do reflect that as it relates to Q4 and Q1, and we'll see that continue in Q2. Keep in mind, we look at a number of factors beyond what companies report. We look at transactional data at the point of sale. We also have consumer loyalty data to understand consumer behavior. So we're triangulating through a number of points and we do believe that directionally we have a really good reflection of where the market is going.
Marc Goodman: And Evolysse pricing?
David Moatazedi: On Evolysse pricing, we don't disclose our price publicly as it relates to that. But consistent with what we said before we launched that we are priced in line with the market leading products on the market. And we've also introduced a loyalty program in our portfolio where customers that participate in our Evolux program, they earn pricing benefits on Evolysse as they purchase more just as they do on Jeuveau. And for accounts that purchase both products, Jeuveau and Evolysse, not only do they get the pricing benefits they earn with competitive programs, in addition to that, they're going to earn more co-branded media now with the introduction of Evolysse that their total purchasing combined between both products determines the total co-branded media spend. And that is a differentiated program from anything offered in the space, because, obviously, our cash pay focus enables us to do that. And that's very exciting because you'll see a lot of new ideas in the back half of this year with our focus around the mention of weight loss and Evolysse and the co-branded media dollars will be directed partly towards that.
Operator: And we'll take our next question from Navann Ty with BNP Paribas.
Navann Ty: Can you discuss your confidence into reiterating the 2025 revenue guidance after this quarter, did you expect maybe excess outperformance or higher revenues than initially expected or anything else? And can you also provide and share early metrics that allow comparison of Evolysse versus the Jeuveau launches?
Sandra Beaver: As far as your first question on the confident reiteration of our 2025 guidance, we've actually seen two quarters of slower market growth. But in the face of that slower market growth an accelerated share uptake by our product, right? So we have performed exceedingly well where the market's been a little bit pressured. And so we saw it consistently over Q4 and then we saw it again even more meaningfully in Q1. So at this stage, we're actually tracking well ahead of this 14% share that we're implying in our revised underlying assumptions. Whereas we historically had assumed a high single digit market of 13% share. We're now assuming a 14% share, which we are already ahead of and a low single digit market. And as I mentioned on the call, that market growth is a 7 times factor to that share number, right? So for every 1% of market, you can have one-seventh share gain to fully offset it. And so with us being able to capture that high share, we're really confident that we continue to be in a good position to deliver on this guidance in this market.
David Moatazedi: And I'll take the second question as it relates to the launch uptake. Of course, we're not in position to talk about revenue. The second quarter is really about sampling and educating customers. I'll tell you that we're really pleased with the activity between the marketing and the commercial teams and that's why we're seeing such strong results. At the end of March, we trained our national sales organization on Evolysse and we launched the product the week of April 7th. And in just about a month, we deployed a program called the [indiscernible] [ICE] trial, which gave a number of clinicians over 1,000 across the US, primarily high volume Jeuveau users, the ability to trial the product. So we train them on it and then they are able to trial it. On April 18th, we deployed a webcast with several key opinion leaders, dermatology, plastic surgery as well as oculoplastics. And as I mentioned on the call, we had several thousand attendees. We're aware that roughly 20% of those are not currently Evolysse customers. So we're really pleased to see that the composition included some of our existing customers and others that are interested in partnering with us. And since then, we've seen equal as many join the live replay. And when we compare against our early metrics for Jeuveau against the same parameters, of course, it's different launch strategy. The numbers are quite different. And so we have a high degree of confidence that this product is off to an incredibly fast start. Of course, we'll wait till we're through with the second quarter before we can give you further color. But we're really pleased with the response we're getting, the early uptake. And we do know on social media, we're generating more noise than any other competitive product that's launched in the recent several years as well. So the activity all around triangulates, so very strong uptake early on.
Operator: Next we'll go to Uy Ear with Mizuho.
Unidentified Analyst: This is Charles on for Uy. So on Evolysse, congrats on the launch in 2Q. I just wanted to know if you could speak a little bit more on the profile of the early adopters, like are these med spas, derms, plastics? And then also, did I hear you right that you said there was inventory stocking for Evolysse? I was just wondering if this inventory build is enough for 2025 or potentially beyond?
Sandra Beaver: The inventory stocking I mentioned for Evolysse in the call, Charles, was related to the first quarter cash use, right? As we prepared for the launch, we were bringing the inventory in proactively to be prepared to get the product into customers' hands. Our stocking for Evolysse doesn't extend out into next year specific to being prepared for the launch itself.
David Moatazedi: And as far as early views on adoption, as you said, first of all, underline early and then point out that some of the research we did, our existing customers, 99% of them said, they're interested in trialing Evolysse when it comes out and they would be willing to potentially adopt so long as the product performs. So our launch focus with the [indiscernible] [ICE] program that I mentioned was targeting our existing Evolysse customers. And we've seen very openness to -- high openness to wanting to learn about the product and to start trialing in their patients. And the early feedback we're getting is very positive in that group. So you should think about the initial launches, the high overlap against our existing customer base.
Operator: And we'll next go to Serge Belanger with Needham.
Serge Belanger: Another question regarding market trends, more on seasonality. Just curious if the usual step down between Q4 and Q1 was more pronounced than usual this year, maybe affected by the macro or if we could see -- if that could portend a big bounce back for 2Q? And then regarding tariffs, it sounds like Evolysse can take some action to mitigate the impact of potential pharmaceutical tariffs that could come in, in coming weeks. But just curious, if you've seen any behavior changes regarding purchases by injectors to be buying additional product ahead of these tariffs?
David Moatazedi: I'll comment just on seasonality in the market. There's a few factors here to think about. The first is, I think the market's had a fairly consistent seasonality in that Q4 is the strongest quarter followed by the second quarter. And then you generally see Q3 and Q1 being lower than those. We bucked that trend historically, as we've had a Jeuveau brand that's grown consistently over 30%. Our implied guide this year on Jeuveau reflects growth that's in the high teens below 20%. So naturally, you'd expect that as our growth moderates that we'll start to fall more in line with the traditional seasonality that you've seen historically. The only thing that's unique now in this year that you want to think about seasonality is we started to see some slowing in the back half of last year. We'll wrap around on that. So you want to think about the reflective growth rates of back half market versus prior year and then, of course, a slightly slower front half of the year relative to what we saw in the front half last year. And I think if you're thinking dividends through that way, you'd end up in a similar place to where we did where you end up with the market growing sort of in this low single digits range, which we believe is the proper view to have based on how we've seen the last couple of quarters trending.
Sandra Beaver: As it relates to your question on tariffs, I think obviously we're all anticipating news that may come and to get more specificity on the pharmaceutical tariffs and we're also all preparing wisely for that information to come across. So as I outlined in the call, we're taking in as much inventory as is reasonable to ensure that we are protected for some period of time against the tariffs. We also have a lot of flexibility in our P&L. I think as others have quoted, they are also taking their own mitigating actions as it relates to ensuring and protecting the tariffs. Having said that, given the industry is preparing as we are, there's not an immediate view that any of this will be passed on to the practice. So we've not seen the practices changing any of their own purchasing behavior in anticipation of us potentially passing on price.
Operator: Next we'll go to Doug Tsao with H.C. Wainwright.
Doug Tsao: Just I'm curious in terms of the broader market. Are you seeing softness with any particular segments, and how is it manifesting? Is it you're seeing fewer new patients start to practice, you're seeing fewer new patients or are they seeing patients sort of spread out their treatments more?
David Moatazedi: What we're hearing consistently is a slight slowing in their schedules and that is reflected primarily in new patients. And we're seeing some early signs of extension of intervals between treatments. But keep in mind the toxin procedure is so affordable for these consumers that we're seeing a very small increase on that level. So we do believe largely existing patients are sticking with it, that's not as much a driver in this as it is new patients coming into the category.
Sandra Beaver: I'd say we also continue to see very strong adoption in our loyalty program, which is a good indicator of outside demand. It may mean that there's more of a wallet consideration but it's been consistent with our historical trends. There's nothing extraordinary or outlined about it and it continues to move up into the right. So that's a strong indicator that the patient demand is still strong.
David Moatazedi: And it's worth pointing out, we don't see any further deterioration either because we watch this closely on a monthly basis. We see sort of this consistent pattern here and that's why we expect it to continue through the front half of the year. We're not seeing further step downs or anything like that.
Operator: And our last question comes from Sam Eiber with BTIG.
Sam Eiber: Maybe I can start on the Evolysse launch. I know it's still early days here. But how should we think about the halo effect that could have on the toxin business? And any details on how you're thinking about the opportunity, whether it's getting into accounts that maybe they don't want to work with the one product company or even driving deeper penetration to existing accounts now with the filler product?
David Moatazedi: We think Evolysse creates a meaningful opportunity for Jeuveau over time. As I mentioned before, we are surprised that roughly 20% of those who joined our webcast had never worked with Evolysse, indicating a level of interest that we're hearing across the country that accounts that we were struggling to get into are interested and willing to trial Evolysse. Now of course, that's a two step conversation. It starts with Evolysse and the product performing, them experiencing the product, seeing that in patients and they'll want to follow some of those patients over time in some accounts. And then of course, as they have a good outcome and we establish that relationship with them, we form our partnership between our Evolysse rewards program, our consumer media that we do around these accounts and CBM. Then it opens the door to our different education platforms for us to talk about Jeuveau. And we do know that there is going to be a direct relationship between accounts that trial Evolysse and adopt it and their willingness to trial Jeuveau. And so we're looking forward to that. I'd just say initially at launch, we don't expect that to be a driver for Jeuveau. We think that's a bigger idea for 2026.
Operator: Thank you all for your questions. At this time, I'd like to turn the call back over to David Moatazedi, President and Chief Executive Officer, for closing comments. David?
David Moatazedi: Thank you. We delivered a strong start to the year, achieving key milestones that underscore the strength of our commercial model and strategic execution. In a moderating aesthetics market, we gained share in the US., continued our rapid growth internationally, successfully launched Evolysse and strengthened our financial foundation through a highly favorable refinancing. Jeuveau continues to perform ahead of the market and early results from Evolysse confirm its potential to be a meaningful growth driver and category disruptor. With a proven operating model, a disciplined approach to investment and a compelling expanded portfolio, we are well positioned to deliver another year of robust growth above 30% and profitability. We remain on track to achieve at least $700 million in net revenue and 20% non-GAAP operating income margin by 2028. Evolysse is advancing as a leader in performance beauty, and we remain confident in our ability to continue delivering meaningful long term value for our shareholders.
Operator: We've reached the end of our call. You may disconnect your lines.